Operator: Good morning and welcome to the PennantPark Floating Rate Capital’s First Fiscal Quarter 2016 Earnings Conference Call. Today’s conference is being recorded. At this time, all participants have been placed in a listen-only mode. The call will be opened for a question-and-answer session following the speakers’ remarks. [Operator Instructions] It is now my pleasure to turn the call over to Mr. Art Penn, Chief Executive Officer of PennantPark Floating Rate Capital. Mr. Penn, you may begin your conference.
Art Penn: Thank you and good morning everyone. I’d like to welcome you to PennantPark Floating Rate Capital’s first fiscal quarter 2016 earnings conference call. I’m joined today by Aviv Efrat, our Chief Financial Officer. Aviv, please start off by disclosing some general conference call information and included discussion about forward-looking statements.
Aviv Efrat: Thank you, Art. I’d like to remind everyone that today’s call is being recorded. Please note that this call is the property of PennantPark Floating Rate Capital and that any unauthorized broadcast of this call in any form is strictly prohibited. Audio replay of the call will be available by using the telephone numbers and PIN provided in our earnings press release, as well as on our website. I’d also like to call your attention to the customary Safe Harbor disclosure in our press release regarding forward-looking information. Today’s conference call may also include forward-looking statements and projections, and we ask that you refer to our most recent filings with the SEC for important factors that could cause actual results to differ materially from these projections. We do not undertake to update our forward-looking statements unless required by law. To obtain copies of our latest SEC filings, please visit our website at www.pennantpark.com or visit us at 212-905-1000. At this time, I’d like to turn the call back to our Chairman and Chief Executive Officer, Art Penn.
Art Penn: Thanks, Aviv. I’m going to spend a few minutes discussing current market conditions, followed by a discussion of the portfolio, investment activity, the financials, and then open it up for Q&A. As you all know, the economic signals have been mixed. With regard to the more liquid capital markets and in particular the leverage loan and high yield markets, during the quarter ended December 31, those markets softened as high yield and leverage loan funds experienced some outflows due to expectations of Fed tightening, turmoil in the energy market and a weakening Chinese economy. This has impacted the tone of the middle-market and has generally resulted in a better opportunity to invest at attractive risk reward. As debt investors and lenders a flat economy is fine as long as we have underwritten capital structures prudently. A healthy current coupon with deleveraging from free cash flow over time is a favorable outcome for us. We remain primarily focused on long-term value and making investments that will perform well over several years and can withstand different business cycles. Our focus continues to be on companies and structures that are more defensive, have low leverage, strong covenants, and high returns. As credit investors, one of our primary goals is preservation of capital. If we preserve capital, usually the upside takes care of itself. As a business, one of our primary goals is building long-term trust. Our focus is on building long-term trust with our portfolio companies, management teams, financial sponsors, intermediaries, our credit providers, and of course our shareholders. We are a first call for middle-market financial sponsors, management teams, and intermediaries, who want consistent credible capital. As an independent provider, free of conflicts or affiliations, we’ve become a trusted financing partner for our clients. Since inception, PennantPark entities have financed companies backed by over a 150 different financial sponsors. We are excited to be approaching this improving investing market with substantially more capital and resources. As a result of our merger with MCG Capital we have nearly doubled the financial resources of PFLT. Combined with our recent investment in senior and middle-level investment professionals across different geographies, we are well positioned to drive significantly enhanced deal flow, as we get more luxe and can be even more relevant to our borrower clients. We have been active and are well positioned. For the quarter ended December 31, 2015, we invested $99 million at an average yield of 8.4%. We plan to continue to prudently and carefully invest our substantial liquidity over the coming quarters. Core net investment income was $0.22 per share excluding one-time cost from increasing our credit facility. We are pleased that the merger with MCG on August and the upsizing of our low-cost LIBOR plus 200 credit facility to $350 million last October has positioned us to a substantial liquidity. Our debt-to-equity ratio is only 0.26 times. With regard to our credit facility a reminder that there are two features that reduced overall risk to the company. First, the facility is a securitization style facility that does not use mark-to-market accounting, such that advances are typically made against the cost of the loan not the market value. Second, to better align the measurement of asset and liability values for both GAAP and the BDC asset coverage test we mark both our assets and our liabilities to market. As a result of both of these features we have provided substantial safety to our shareholders and lenders in the event of market volatility. We have significant spillover income that we can use as cushion to protect our dividend while we ramp the portfolio. As of September 30, our spillover was $0.47 per share. Subsequent to quarter end, Z Wireless or AKA Diversified was sold and we realized a capital gain of $900,000 or $0.03 per share and prepayment fees of $1.3 million or $0.05 per share of other income. Other income is a category that we have on our income statement to represent prepayment fees or waiver and amendment fees that are not part of ongoing interest income. Other income has averaged $0.02 per share per quarter over the last few years. As a result of our focus on high-quality companies, seniority in the capital structure, floating rate assets and continuing diversification, our portfolio is constructed to withstand market and economic volatility. The cash interest coverage ratio, the amount by which EBITDA or cash flow exceeds cash interest expense, continued to be a healthy 3.8 times. This provides significant cushion to support stable investment income. Additionally, at cost, the ratio of debt-to-EBITDA on the overall portfolio was 3.9 times, another indication of prudent risk. Our credit quality since inception nearly five years ago has been excellent. We have experienced only two non-accruals in nearly five years, and currently have no non-accruals on our books. In terms of new investments, we had another active quarter investing in attractive risk-adjusted returns. Our activity is driven by a mixture of M&A deals, growth financings and refinancings. In virtually all of these investments, we have known these particular companies for a while, have studied the industries or have a strong relationship with the sponsor. Let’s walk through some of the highlights. We invested $13 million in the first-lien debt of KHC Holdings, which is a distributor of ancillary products for building automation systems. Snow Phipps is the sponsor. LSF9 Cypress Holdings also a foundation building materials is a distributor of drywall and other building products. We won $15 million of first-lien term loan. Lone Star is the sponsor. We invested $10 million in the first-lien term loan of U.S. Anesthesia, which is a provider of management and administrative services to affiliated anesthesia practices. Welsh, Carson, Anderson & Stowe is the sponsor. US Farathane is a manufacturer of molded plastic components primarily for the light vehicle auto industry. We lent an additional $6 million of first-lien term loan. The Gores Group is the sponsor. Turning to the outlook, we believe that 2016 will be active due to both growth and M&A driven financings. Due to our strong sourcing network and client relationships, we are seeing active deal flow. Let me now turn the call over to Aviv, our CFO to take us through the financial results.
Aviv Efrat: Thank you, Art. For the quarter ended December 31, 2015, core net investment income totaled $0.22 per share and credit facility amendment costs were $0.03 per share, resulting in GAAP net investment income of $0.19 per share. Looking at some of the expense categories, management fees totaled $1.1 million; general and administrative expenses totaled about $700,000; and interest expense totaled about $900,000. During the quarter ended December 31, net unrealized depreciation from investments and credit facilities was approximately $100,000. Net realized loss was $3.2 million or $0.12 per share. And dividend in excess of income was $2.5 million, or $0.10 per share. Consequently, NAV was down $0.22 per share down from $13.95 to $13.73 per share. Our entire portfolio and our credit facility are mark-to-market by our Board of Directors each quarter using the exit price provided by an independent valuation firm or independent broker/dealer quotations when active markets are available under ASC 820 and 825. In cases where broker/dealer quotes are inactive, we use independent valuation firms to value the investment. Our portfolio is relatively low risk. It is highly diversified with 83 companies across 23 different industries. 88% is invested in first-lien senior secured debt, 10% in second-lien secured debt, and 2% in subordinated debt and equity. Our overall debt portfolio has a weighted average yield of 8.2%. 99% of the portfolio is floating rate, including 92% with a floor. The average LIBOR floor is 1.1%. Now, let me turn the call back to Art.
Art Penn: Thanks, Aviv. To conclude, we want to reiterate our mission. Our goal is a steady stable and protected dividend stream coupled with the preservation of capital. Everything we do is aligned to that goal. We try to find less risky middle-market companies that have high free cash flow conversion. We capture that free cash flow primarily in first-lien, senior secured floating rate debt instruments, and we pay-out those contractual cash flows in the form of dividends to our shareholders. In closing, I’d like to thank our extremely talented team of professionals for their commitment and dedication. Thank you all for your time today and for your investment and confidence in us. That concludes our remarks. At this time, I would like to open up the call to questions.
Operator: Thank you. [Operator Instructions] Our first question today comes from Ryan Lynch with KBW. Your line is open.
Ryan Lynch: Hi, good morning, guys. First question, I think the biggest question right now is just the pace of your capital deployment, you guys are obviously sitting on a lot of capital right now, the credit markets continue to soften, which creates an ever more favorable environment for deploying that capital, so how should we think about the pace of capital deployment going forward?
Art Penn: Look, it is a great question and you are right Ryan. We are pleased that we have a lot of liquidity right now in the markets kind of coming our direction. So, as always we are going to take it deal by deal, quarter by quarter, the kind of pace we have been on the last quarter is easily consistent and may increase a little bit given that the market is coming our direction. So, we hope to gradually, fully ramp the portfolio in the coming two or three quarters. Obviously it is most importantly deal by deal, our underwriting has to be good.
Ryan Lynch: Okay, and then what sort of yields are you guys seeing in the first and second lien loans in the market right now, I mean, obviously we saw, your guys overall portfolio yield go up nicely quarter-over-quarter, so what kind of yields you are seeing in the market today, and what should we think about your portfolio yield going forward as you deploy this capital?
Art Penn: Yes, it is a great question. Look, our yields are coming up I would say probably in the last 3 to 4 months yields are up 50 basis points, in some cases maybe more. So that is one of the nice things that we and other BDCs potentially have in our back is the ability to get higher yields. Also importantly when you have this kind of movement you can structure deals with lower leverage, with tighter covenants, with more upfront fees or OID. So the whole package of risk reward is improving over time. So, look and then certainly other deals we maybe happy to get a relatively lower yield but get a really attractive low risk deal. So, case by case basis but our hope and intention is that yields should be going up over the coming months, average first-lien deal we are doing today is probably around the 7% all in yield. Again that is probably up 50 to maybe 100 basis points over the last three, six months.
Ryan Lynch: Okay, thank you. And then just one more, your guys credit quality held up pretty well this quarter, no new non-accruals, but can you maybe just touch a little bit on a high level of some of the revenue and EBITDA trends you guys are seeing in your underlying portfolio of companies?
Art Penn: We said in the comments that we see the economy is mixed. Again for a lender, flattish or slightly up or even slightly down if we have underwritten credit well, it should be just fine for us. So we are seeing a slightly up revenue and EBITDA up 2%, 3%, 4% on average over the course of the portfolio.
Ryan Lynch: Great. Thanks for your time.
Art Penn: Thank you.
Operator: [Operator Instructions] We will go next to Mickey Schleien with Ladenburg. Your line is open.
Mickey Schleien: Good morning Art and Aviv.
Art Penn: Good morning.
Mickey Schleien: Art as you mentioned PFLT is somewhat unique amongst BDCs right now in the sense that it has significant liquidity. I am interested to understand given that availability how that is affecting the quality of the looks that you are getting and in particular are you seeing some new sponsors approach you that in the past perhaps you would have liked to work with but you hadn’t had the opportunity?
Art Penn: Well, the biggest difference is there is two or three things going on here. Number one, with a bigger bite size we can be more important to those borrower clients, be a lead member of a club deal, drive terms a little bit more, drive yields, drive upfront OID or fees, etcetera. The other thing is as we have said in our remarks we have invested significant resources beefing up our team geographically as well as throughout the senior to mid and junior levels of the team. So we have got an increased team, more feet on the street. We have got increased buying power and the market by the way is coming our direction as we said. So a lot of things are feeding into this. We are getting really nice looks, no question about it for all those reasons.
Mickey Schleien: And Art, so has that translated into a wider pool of sponsors that you are working with than in the past?
Art Penn: Yes, absolutely.
Mickey Schleien: Okay. Just a couple of data points, could you give us the weighted average yields on the new investments in the quarter?
Art Penn: I don't know if we have that. The new investments yielded Aviv has it here for me, 8.4%.
Mickey Schleien: Okay, and could you just repeat the figure that you provided for the exit from Z Wireless?
Art Penn: Sure. Z Wireless exited we had a realized gain of $0.03 per share and other income opportunity of $0.05 per share.
Mickey Schleien: And that is subsequent to quarter end?
Art Penn: That is subsequent to quarter end, yes.
Mickey Schleien: Okay. Those are all my questions. Thank you for your time.
Art Penn: Thanks Mickey.
Operator: And ladies and gentlemen with no questions remaining, I would like to turn the call back over to Mr. Penn for closing comments.
Art Penn: Just like to thank everybody for being on the call today and your interest in PennantPark Floating Rate Capital, and we will talk to you next quarter.
Operator: Ladies and gentlemen that does conclude today’s conference. We thank you for your participation.